Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Lassonde Industries 2024 Third Quarter Earnings Conference Call. [Operator Instructions] Before turning to management, please be advised that this conference call will contain statements that are forward-looking and subject to a number of risks and uncertainties that could cause actual results to differ materially from those anticipated. I would like to remind everyone that this conference call is being recorded today, Friday, November 8, 2024. I would now like to turn the call over to Vince Timpano, Chief Executive Officer. Please go ahead.
Vince Timpano: Good morning, ladies and gentlemen. I'm here with Eric Gemme, Chief Financial Officer of Lassonde Industries. Thank you for joining us for this discussion of the financial and operating results for our third quarter ended September 30, 2024. Our press release reporting these results was published yesterday after markets close. It can be found on our website at lassonde.com, along with our MD&A and financial statements. These documents are available on SEDAR+ as well. We also posted a presentation supporting this conference call on our website. Let me remind you that all figures expressed on today's call are in Canadian dollars, unless otherwise stated. Now let's turn to Slide 4. Lassonde delivered strong operating results in the third quarter, driven by solid top and bottom line growth in all divisions. Our results also included the contribution of Summer Garden food manufacturing since August 8. Excluding Acquired Entities and foreign exchange, sales increased 8.2%, fueled by volume gains in our U.S. private label and branded businesses, as well as pricing adjustments for our Canadian beverage activities, partly offset by an unfavorable change in our U.S. private label product sales mix. With all divisions generating higher gross profit, Lassonde's consolidated operating profit improved 32% from last year. Now let's turn to slide 5 for a closer look at our operations. First, our U.S. beverage activities enjoyed further volume gains, driven by our build-back plan and the start of our North Carolina single-serve line in late July. Despite a slight disruption from Hurricane Helene, its ramp up is generally progressing well and we continue to feel confident that we will reach full production rates in early 2025. Single-serve remains the main volume driver of our branded operations, and these formats are also an important tool in capturing market opportunities in the private-labeled business as we pursue our rebuilt plan. Single-serve formats will also allow us to achieve one of our priorities about expanding our reach in the away from home channel, both within food service and in convenience stores. On the efficiency side, conversion costs and margins have improved, reflecting our decision to in-source greater volume of aseptic juice boxes, as well as other initiatives to improve efficiency and increase production volume, leading to a better absorption of fixed costs. Now moving to slide 6 for a discussion of our U.S. Capital Expenditure Program. Mindful of enhancing the competitiveness of our beverage manufacturing network, we announced in early October a $200 million investment to build a new facility on a site adjacent to our existing New Jersey plant. The new state-of-the-art 200,000 square foot facility will replace the current plant. Construction should begin in early 2025 with existing production activities progressively transferred beginning in 2026. The transition is expected to be completed in 2027. It will play a key role in fortifying our competitive position in the U.S. Northeast market through a lower cost structure stemming from a more efficient production flow and improved yields. New equipment will also improve output through higher line speed and reduced downtime. Over the longer term, the facility will also offer the potential to add further capacity and new capabilities to meet market opportunities. In parallel, we will invest an additional $20 million from North Carolina to strengthen its role as a strategic hub. The investment consists in bringing in-house certain owned production assets that are presently deployed at a co-packer facility. The insourcing is expected to be completed in late 2025 and will allow us to enhance network efficiency and reliability while providing more flexibility to meet incremental demand. Turning over to Canadian beverage activities on slide 7, our focus remains on fortifying our leading positions through innovation, channel expansion, and through productivity improvements. In a context of input cost inflation, mainly for orange juice and concentrates, our ability to find the sweet spot between margin and volume is bearing fruit. Our extensive product portfolio also enables us to target value-conscious consumers with affordable solutions across various packages and channels. We continue to have success with products that reduce our commodity exposure while addressing on-trend consumer preferences. Let me call out fruit nectar sold under the Del Monte brand with exotic flavors such as guava, mango, and passion fruit. These products, catering to an international consumer profile, have enjoyed good sales velocity in markets with greater international diversity such as large urban centers. Other successful products worth calling out are lower sugar content orange beverage and Del Monte and Ice, which last week won the Grocery Innovations Canada award as best beverage for its Strawberry Dragonfruit flavor. As for productivity improvements, we deployed a second high-speed juice box line in Rougemont in the quarter. This highly efficient line will gradually replace five smaller ones that have been operating for several decades. Now let's turn to specialty food on slide 8. Our division, made up of Legacy Lassonde Specialties and recently acquired Summer Garden, had a strong quarter. Legacy operations achieved solid sales growth in retort products, mainly in the premium glass jar soup and in the broth categories. Meanwhile, Summer Garden generated sales of $26.7 million over approximately seven weeks since closing on August 8th. Recall that we assembled a dedicated team to facilitate the onboarding of Summer Garden's personnel and the integration of its operating activities. For instance, we put forward initiatives to secure continued engagement by key personnel and developed a comprehensive communication plan for the leadership team and all employees. Additionally, we make every effort to have a member of the Lassonde executive team present in employee engagement activities. We are proud that Lassonde's values and culture are closely aligned with those of Summer Garden, with an entrepreneurial spirit and strong commitment to employees, consumers, business partners and the community. The team also continues its assessment of best practices and various initiatives to unlock potential synergies. We look forward to updating you on our progress over the next few quarters. I now turn the call over to Eric for a review of our quarter three results. Eric?
Eric Gemme: Thank you, Vince. Good morning, everyone. Before I begin, please note that most amounts have been rounded to ease the presentation. Also note that I will refer to non-IFRS measures or ratios in my remarks, mostly to ease comparability between periods. Reconciliation to IFRS measures is provided in the appendix to our presentation. Finally, these results reflect the inclusion of Summer Garden since August 8 and all effects related to the purchase price allocation. Let's turn to slide 9 for our third quarter three results which amounted to $668 million, up 14.5% versus last year. Excluding Acquired Entities and a favorable foreign exchange impact, sales increased by 8.2%, reflecting a higher sales volume in the U.S. for both branded and private-label products, and selling price adjustments in Canada. These factors were partly offset by slightly less favorable sales mix in our U.S. private-label business. Moving to slide 10, gross profits reached $180 million, representing 26.9% of sales, up from $146 million a year ago, or 25.1% of sales. Excluding Acquired Entities, gross profits rose 16.9% driven by higher volume, the run rate effect of pricing adjustments, lower conversion costs from efficiency improvements, including in-sourcing production of aseptic juice boxes for our U.S.-branded beverage division. Partly offset by higher input costs, mainly orange juice and concentrate, and a slightly less favorable U.S. sales mix. It should be noted that the reported growth profit reflects a one-time expense of $4.3 million related to the required step-up of Summer Garden's finished-goods inventory to its naturalizable value. Excluding this expense, the gross profit margin would have been 27.5%. SG&A expenses were $133 million, up from $111 million last year. Excluding expenses from Acquired Entities, SG&A increased by $9 million or 8%, reflecting higher outbound transportation and finished-good warehousing costs, a portion of which, due to volume, as well as an increase in other selling and administrative expenses. Partly offset by lower performance-related compensation expenses. Excluding items that impact comparability, adjusted EBITDA increased 31% to $69 million, or 10.4% of sales, from $53 million or 9.1% of sales last year. Here again, excluding the impact of the finished-goods inventory step-up, adjusted EBITDA margin would have been 11%. Adjusted profit attributable to the Corporation shareholder came in at $31 million, or $4.50 per share, compared to $25 million, or $3.67 per share last year. Looking briefly at the nine months results on slide 11. Sales rose 8.9% from last year. Excluding Acquired Entities and FX impact, the increase was 5.8%. If the Summer Garden acquisition had been completed on January 1, 2024, sales for the first nine months would have been almost $2 billion. Adjusted EBITDA amounted to $196 million or 10.5% of sales, up from $155 million or 9% of sales in the first nine months of 2023. If the Summer Garden acquisition had been completed on January 1, 2024, and excluding the inventory step-up effect, adjusted EBITDA for the first nine months would have been about $228 million or 11.5% of sales. Adjusted profit attributable to the Corporation’s shareholder reached $95 million or $13.93 per share compared to $68 million or $10.03 per share last year. Turning to cash flow on slide 12. Operating activities generated $88 million in the third quarter of 2024, up from $76 million last year. The variation is mainly explained by higher EBITDA, partly offset by an increase in net income tax pay. With stabilizing working capital, the days of operating working capital ratio was relatively unchanged at 46 days in Q3 despite some distortion caused by the inclusion of Summer Garden's balance sheet at the end of the period versus only seven weeks of operating results. After nine months, operating activities generated $158 million, up from $147 million last year. Capital expenditure amounted to $28 million in Q3 and $83 million after nine months. For the year, we expect CapEx to reach up to 5% of sales. As for the timing of our US capital expenditure program announced on October 1st, about $10 million will be spent in 2024, $120 million in 2025, and the balance in 2026. Turning over to our balance sheet on slide 13. Reflecting $309 million in borrowing to finance the acquisition of Summer Garden, Lassonde's net debt totaled $456 million at the end of the third quarter versus $201 million three months earlier. Excluding these borrowings, the total long-term debt would have decreased by approximately $54 million this quarter. The net debt to adjusted EBITDA ratio was 1.8 to 1 at the end of Q3 2024, which includes only seven weeks of Summer Garden's EBITDA and the [inaudible] their inventory step up but the entire debt. Considering the US multi-year capital expenditure program and all things being equal, we anticipate the leverage ratio to range between 2 and 2.5 to 1 starting in the first half of 2025 and until the end of 2026. Before turning the call back to Vince, let me provide more detail on the Summer Garden purchase price allocation and its implication to our financial statements on slide 14. First, the inventory step-up to bring acquired finished goods to net realizable value resulted in a US $3.2 million of adjustment. As mentioned previously, this amount was expensed in the cost of sales during this third quarter. Second, the fair value of property, plant, and equipment acquired will entail an annual depreciation expense currently estimated at US $3.9 million. Third, intangible assets such as trademark, trade name, and client relationship will be amortized, resulting in an annual amortization expense currently estimated at US $14 million. Fourth, contingent consideration or earn-out currently recorded at US $32.9 million are mainly related to the expected sales volume of certain products over the two-year period following the acquisition and whether a customer agreement is renewed upon expiry. The amount could be revised based on evolving assumption about reaching thresholds and it will be adjusted on a quarterly basis to reflect the passage of time. All changes will be recorded in the P&L under other gains or losses. Moreover, given our U.S. capital investment program, certain existing assets from the current facility will be depreciated at an accelerated rate over a period of 10 quarters beginning in Q4 2024, representing additional quarterly expenses of approximately US $1.5 million. Ladies and gentlemen, I turn the call back to Vince for the outlook.
Vince Timpano: Thank you, Eric. Please turn to slide 15. Before discussing our outlook, let me take a moment to address the impact of Hurricane Helen which struck North Carolina in late September. As you may have read in our MD&A, our Hendersonville facility had little direct impact, but more significant damage in the area forced us to close the plant for 15 days. The hurricane also affected road infrastructure, disrupting product deliveries. At this stage, we do not expect any significant impact on our fourth quarter results as we were able to rapidly deploy mitigation plans. However, it prevented us from following our original schedule on certain build-back initiatives, mainly for single-serve formats, resulting in some missed opportunities at the beginning of the fourth quarter. Importantly, we made sure that our employees and local communities had all the support needed by organizing a large donation campaign for non-perishable goods across our U.S. network. We also organized a fundraising campaign with the Red Cross, and every dollar collected from our employees was matched by Lassonde. On behalf of the executive team, I want to commend all affected employees for the resilience and thank the entire Lassonde organization for the strong support and kindness expressed towards them. Now let's turn to slide 16. As we look ahead to close 2024, our focus is unchanged. For U.S. beverage activities, our priorities are to continue executing our private label volume build-back plan and ramping up our North Carolina single-serve expansion. For Canadian beverage activities, we will pursue initiatives to fortify our leadership through innovation, channel expansion, targeted marketing initiatives, and through productivity improvements. For specialty food, priorities are onboarding and integrating Summer Garden as well as executing our North American growth strategy in the context of our expanded presence. This strategy will be centered on growing our reach in adjacent markets and optimizing market penetration of acquired brands. We will also finalize the identification of synergies through sharing of best practices and know-how to capture manufacturing efficiencies and lower our costs while pinpointing reinvestment needs to increase capacity and to support our brands. Moving to slide 17, we expect to conclude 2024 with a sales growth rate in the mid- to high-single-digit range, excluding Acquired Entities and currency fluctuations. This growth will reflect the run rate effect of selling price adjustments, sequential sales volume improvements in the fourth quarter, driven by the pace of our U.S. build-back plan, incremental volume available from our new single-serve line, and demand normalization. We remain committed to supporting initiatives that foster growth by fortifying our innovation pipeline, expanding our distribution or investing in strategic trade spending. Sustained cost inflation for certain commodities, such as orange juice as well as orange and apple concentrates, is expected to remain a factor for the quarters ahead. With this in mind, improving efficiency and productivity will be keys to sustaining profit growth. In closing, we anticipate our momentum to carry into the final quarter of 2024. Over the longer term, we will maintain our focus on executing our strategy to meet our sales growth, improve profitability, and long-term value-creation objectives. This concludes our prepared remarks, and we are now pleased to answer your questions.
Operator: [Operator Instructions] Thank you, gentlemen. Before we move to questions, I've been advised that my introductory remarks were not audible to all participants. So I'd like to repeat the forward-looking statements. Please be advised that this conference call contains statements that are forward-looking and subject to a number of risks and uncertainties that could cause actual results to differ materially from those anticipated. I would like to remind everyone that this conference is being recorded today Friday, November the 8th, 2024. Our first question is from Martin Landry with Stifel.
Martin Landry: Hi, good morning, guys. And congrats on your good results. My first question is on Summer Garden. Vince, you talked in your opening remark about optimizing market penetration. So I was wondering if you could go a little deeper there. And for instance, I don't know if you could share with us maybe the number of doors where Summer Garden is available now and what that could look like in a year or two. The timing of optimizing market penetration, is this in the next three months? Is this in the next two years? And then what kind of revenue synergies you could realize from that opportunity?
Vince Timpano: So good morning, Martin. Look, at all very, very good and important questions. Let me start with your first question with respect to where do you see the opportunities. What I'm going to provide you is just as an example, because obviously we're working through sort of a long-term strategy and growth plan that my goal is to share with you in early quarter or in early 2025. But as we said in the past, like we've acquired brands that are largely penetrated within the US. You've got national distribution with brands like G Hughe. You've got more regional distribution with brands like Gia Russa and Little Italy. So there are what I see as distribution opportunities for growth within the US market itself. But beyond that, when you take a look at those brands, strong considerations being given to what extent those brands can be extended and built in the Canadian market as well. So when you think about revenue synergies, I mean, that is going to be a key, key area of focus for us, which is taking a look at the two markets and determining how it is that we can leverage from an adjacency perspective. And I see opportunities in there. I'm not at a place yet, Martin, where I can talk about the scale of the opportunity, but I can tell you that it is an immediate priority for us to finalize the thinking and the strategy and to start to put it into play what I would say is most likely in the back half of 2025. And as far as how long, I wouldn't say, this is going to be a long-term play in terms of what it is that we aim to do to capture growth. When you talk about other synergies, and I've said this in the past, we have assembled a cross-functional team that is very focused on delivering across what I've described as 100-day mandates. The mandates will be extended, but I've got a key focus on the integration of the activities of Summer Garden into Lassonde, and we're focused on all elements of synergies, including cost. When you take a look at purchasing synergies, supply chain synergies, and so we see opportunities there, still too early to quantify. Let me come back a little bit also on the revenue synergy. What we have done more specifically is assembled a team to focus on a long-term strategy for growth. My view is that that strategic plan, if I think about it, for growth will be concluded most likely in March, quarter one, 2025. Following that, I'll be in a better position to be able to give you more details on how we see the growth playing out.
Martin Landry: Okay, that's fair. Maybe switching gears, you've announced in October one of your biggest investments to date with the construction of a new facility in New Jersey. Eric, I was wondering if you could touch a little bit on what kind of return on investment you expect to realize on that project, and what would be the timing of those returns?
Eric Gemme: So, Martin, and you'll find this answer in our MD&A. In the MD&A, what we're saying is, of course, the return on this investment is far greater than our cost of capital. And we even indicated in the MD&A that, of course, once this is completed, we see that in our payback period is five years. For such a big project, we believe that is a very good return on investment.
Martin Landry: Okay, that's super helpful. And maybe just last question, given the elections were happened this week, and there's lots of discussions about tariffs being implemented. I know you're sourcing your orange juice and a lot of your raw material externally. So, any considerations, any concern you have right now, any mitigation plans you're putting in place in the under scenario where tariffs would be implemented not only from China but global tariffs?
Eric Gemme: So, Martin, I'll start on this answer and, Vince, I'm sure will chime in. So tariff is one element of the Trump White House or Republican policy. But I would like to start with tax rates. At the moment, a corporate tax rate is 21%. They are quite clear that they want to bring this down to 15%. So we see that as a positive element for a Corporation like ours because we do manufacture in the US. Also individuals, their tax rate or especially some with the middle class, they will have some tax rate whether it's a reduction or no tax on over time on tips and other measure that will allow them to have more discretionary income in their pocket because of course the tariffs will have an impact on cost of goods in the US. So hopefully they will have a bit more money in their pocket to afford a higher cost of goods. So when it gets to tariffs, you are absolutely correct. They're talking about 10% plus even more for China to be applied on all imported goods to promote a Made in America approach. And of course it impacts us on a lot of our imports including concentrate packaging and finished goods, mainly produced out of Canada because we are using our North American network to satisfy the demand. So Vince, how about you mention what we're doing or what we've been doing on this?
Vince Timpano: So, yes, maybe just to Eric's point and this isn't necessarily directly as a result of what we're anticipating following the election. I mean we've been very, very focused over the last for a while and continue to be focused on doing things to lessen our dependency on commodities as an organization. Our core pillar for growth is oriented around building a growth oriented portfolio and we see the opportunity to build our business with less dependency on commodities. It doesn't mean that we don't have businesses that have commodities built in them, but there's an opportunity here for us to lessen our dependency on that. Secondly, when you consider all of the investments that we're making, we're investing on our US network. So we're building a new facility in New Jersey. We're expanding and creating a strong hub out of North Carolina. We've acquired Summer Garden, which has built-in manufacturing capabilities in the US, which lessens the dependency for transfer of product from Canada to the US. And again, we'll continue to focus on things like maximizing utilization of local fruits, where we’ve got the capabilities to do that. So, I think we’re going to continue to be focused on mitigations in a world where tariffs occur. But again, it is very much in keeping with our strategy and as far as what we’re trying to do both from a portfolio and a manufacturing perspective. The last thing that I’m going to say is to the extent that it does impact cost, we’ll have to look at passing elements of our cost on to the consumer from a pricing perspective. I mean, that’s just the reality. I’m speculating on what might occur, but in terms of the degree of it, we just don’t know, but that’s always a lever for us as well.
Eric Gemme: And the last thing on cost for us, and again, let’s set aside the environmental implications, but Trump is quite clear that he wants more drilling for oil in the U.S. So, that will contribute to most likely a surplus and lessen the cost of energy which has an impact, of course, on our cost of manufacturing, the transportation cost, and keep in mind that the PET, that is one of our packaging, is closely related to oil price, so these should also have an impact on our costs. So again, we're not speculating, we're just trying to reflect on the implication that the election from Tuesday night will have on our organization.
Operator: The next question is from Luke Hannan with Canaccord Genuity.
Luke Hannan: Thanks. Good morning, everyone. Eric, I wanted to follow up on Martin's earlier line of questioning there. So you mentioned, it was mentioned in the press release before, and then also in the MD&A, that the New Jersey facility at scale, it's certainly going to be accretive, or rather it's going to deliver an internal rate of return above your corporate cost of capital, but I'm curious to know, is it going to deliver a rate of return that's also above what your corporate return on capital employed is as well? Is it accretive to that?
Eric Gemme: I'm not sure that I understand the differentiation between the two ratios. So my total cost of capital, how different it is than the corporate rate of capital, can you clarify? So I can just –
Luke Hannan: Yes, sorry, just to maybe, I'll ask it a little bit differently. So it's mentioned that the cost of capital, rather the project returns for this new facility, it's going to deliver a rate of return that is above your cost of capital. But I'm curious to know if it's also above what the corporate return on capital employed, I think it was 14% for you guys, right around 13.7% for you guys on a trailing 12-month basis.
Eric Gemme: Yes, that's what I'm referring to. So our project delivers more than this.
Luke Hannan: Oh, got it. Okay. My apologies. Okay, so I misunderstood that. All right. That's okay.
Eric Gemme: In fact, no, now I get even clearer. So our current ROCE at 13.7, keep in mind a calculation of that, right, that's an EBIT divided by return on capital -- by invested capital. So it does not include the full tax implication and so on and so forth. So on common measure, right, when I, my first point of reference is our WACC, which also incorporate the tax effect. So our WACC is slightly below 10. So first point of reference, my WACC, my return on investment, my IRR is higher than that WACC by a few margins. But on the same basis, the ROCE, which is an EBIT divided by return on capital, is also higher than the 13.7.
Luke Hannan: Got it. Okay.
Eric Gemme: So these are not pretty trend, that’s our --
Luke Hannan: That's perfect, exactly what I was looking for. Excellent, okay, good to know. So that may be sort of a follow-up to that then. So I imagine you guys wouldn't have undertaken this investment if you didn't look around at the rest of the Northeast and figure, okay, this would probably be one of the newest assets in the service. Like, can you just share, I guess, your view on what the competitive environment looks like in the Northeast specifically when it comes to maybe how long dated some of these other competitors' assets have been in service for?
Eric Gemme: Well, that's a good question. We do have a view on some of the competitors. I think the newest plant in this region is the Ocean Spray plant in Lehigh Valley, but it's probably been commissioned close to 10 years ago.
Vince Timpano: There was also, if I could jump in, there was also a newer facility that was built in Pennsylvania, not as a direct competitor, but certainly in the beverage category. So I think my answer to your question, Luke, is of course, when we took a look at the assessment and determining what to do, we looked at the competitive environment. We looked at jurisdictions surrounding the area which we currently produce. And when we took a look at the existing Seabrook area, I mean, the key benefit for us was we have an incumbent workforce. And so it certainly minimized any risk of transition by moving too far from that location. And so that was sort of the key consideration for us. And there was adjacent land available for us. And so it makes the transition much easier for us as well. But to answer your question, I mean, clearly, we have a sense of competitively who's there and we consider that. We looked at other jurisdictions and believed in the end, the decision to build in Seabrook with an incumbent workforce was the right plan. And we think that position fits well competitively.
Luke Hannan: That's great. Okay, last question and then I'll pass the line. When you think about your 2026 ambition to get $3 billion of sales, so there's a lot of moving parts. I got it. There's the organic growth rate on your base business, but then you can layer on Summer Garden as well. Does this investment in, does this new facility, does it get you basically right to that $3 billion as well? Or is there still going to be some other initiatives, either organic or otherwise, that you'll undertake?
Eric Gemme: There are a few more initiatives that we have in the fall that will contribute to getting $2 billion, but the $3 billion, sorry, I said $3 billion, but you have in front of you the book of what we believe is what will get us to this $3 billion. So, between the single-serve now that has been deployed, the facility in Seabrook, which will not contribute to the 2026 Summer Garden and what we see in terms of upside. And again, a few other things that are minor but cumulatively take us through the $3 billion.
Operator: Our next question is from Frederic Tremblay with Desjardins.
Frederic Tremblay: Thanks. Good morning. On the volume build back in the U.S., wondering if you can share so far where the volume is coming from, meaning is it mainly from existing customers or are you making gains also with your clients?
Vince Timpano: It's both -- it's a combination of the two. I mean, so we're growing share. We're introducing new products, but we are introducing new clients and it represents a good portion of the growth that we're seeing.
Frederic Tremblay: Okay, great. And with that program, generally I know it's maybe tough to put some numbers around it, but any comments on where you're at with your volume build back expectations and so where you're at right now versus where you want to be. Ultimately, are you 25% of the way, 50% of the way? Are you in line with what you initially expected? Any sort of color on that would be helpful.
Vince Timpano: I would say that we're generally in line with sort of our expectations. I'm not going to put any sort of numbers against that, Frederic, but it's in line with our expectations and recall sort of the build-back for us. We'll continue on into 2025 as well, okay.
Frederic Tremblay: Thanks for that, and then just maybe a last question, maybe more on the consumer behavior side. Curious if you can maybe share any differences, if there are any, between consumer price elasticity or demand for private label versus branded in beverage versus specialty foods? Anything you can point to there in terms of consumer behaviors and sort of those trends?
Vince Timpano: Yes, it's an interesting question. What I would say when you look at the food business, Frederick, and I'll look at sauce category, both white sauce and red sauce, and there are similarities north and south of the border in terms of what we're seeing. Due to inflation, you are seeing overall category softness around 4% to 5%. But what you are seeing is a significant increase in category performance in the premium category. So, when you talk about consumer resilience and price elasticity relative to private label, really what you're seeing right now in the food category is a very significant shift to premium, super premium. And then when you take a look at the categories in which we participate in, in terms of Summer Garden, what we acquired, they are primarily a super premium, premium focused house in terms of our Little Italy Gia Russa. So that's what we're seeing. In terms of private label right now, again, too early to talk a little bit about price elasticity. The premium category is new and emerging, but it's significantly growing. What you will see is in the mainstream to value categories that are declining, you will start to see some shifts to private label. And I would say that's just a general sentiment in terms of what you're seeing in the market in beverages and food, a general shift to value. The only break that I see is what I just described in sauce is where there is significant growth in the premium category.
Operator: This concludes the question and answer session. I'd like to turn the conference back over to Vince Timpano for any closing remarks.
Vince Timpano: Well, thank you for joining us this morning. We look forward to speaking with you again at our yearend quarterly call. Have a great day and a great weekend, everybody. Thank you.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating. And have a pleasant day.